Operator: Good morning and welcome to the BancorpSouth Third Quarter 2015 Earnings Conference Call. All participants will be in a listen-only mode [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mandy Mitchell, Senior Vice President of Retail Business Development. Please go ahead Ma'am.
Mandy Mitchell: Good morning and thank you for being with us. I'll begin by introducing the members of the senior management team participating today. We have Chairman and CEO, Dan Rollins, Chris Bagley, President and Chief Operating Officer. Bill Prater, Senior Executive Vice President and Chief Financial Officer, Ron Hodges, Senior Executive Vice President and Chief Credit Officer & James Threadgill, Senior Executive Vice President and Chief Business Development Officer. Before the discussion begins, I'll remind you of certain forward-looking statements that may be made regarding the company's future results or future financial performance. Actual results could differ materially from those indicated in these forward-looking statements due to a variety of factors and/or risks. Information concerning certain of these factors can be found in BancorpSouth's 2014 Annual Report on Form 10-K. Also during the call, certain non-GAAP financial measures may be discussed regarding the company's performance. If so, you can find a reconciliation of these measures in the company's third-quarter 2015 earnings release. Our speakers will be referring to prepared slides during the discussion. You can find slides by going to bancorpsouth.com and clicking on our Investor Relations page where you'll find them on the link to our webcast, or you can view them at the exhibit to the 8-Okay that we filed earlier this morning And now I'll turn to Dan Rollins for his comments on the quarter.
Dan Rollins: Thank you, Mandy and good morning. Thank you for joining us today for BancorpSouth's third quarter 2015 conference call. I will begin by making a few brief comments regarding the highlights from the third quarter. Bill will discuss the financial results in more detail. Chris will talk about our business development activities in the bank, James will provide some comments on our business development activities and mortgage and insurance and finally, Ron will discuss highlights regarding credit quality. After we conclude our prepared comments our executive management team will be happy to answer any questions you have. Let's turn now to the slide presentation. Slide 2 contains our customary Safe Harbor statement with respect to certain forward-looking information in the presentation. Slide 3 covers the highlights for the quarter. Beginning with the financial highlights, net income was 34.3 million or $0.36 per diluted share for the quarter. Net operating income which excludes merger related and other non-operating expenses was also $0.36 per diluted share as there were no material non-operating items in the third quarter results. We continue to generate steady loan growth, producing 212 million of net loan growth this quarter or 8.4% on an annualized basis. We are growing loans across our footprint, each quarter, different team standout. Chris will provide some color on our loan production efforts in a moment and highlight the teams that stood out this quarter. Our net loan growth combined with stable loan yields helps to grow net interest income and improve our net interest margin to 3.59% from 3.54% for the second quarter of this year. Bill will provide for commentary on our net interest margin in his remarks. As expected, based on the decline in interest rates, we had 5.3 million downward adjustment to our mortgage servicing asset. This adjustment creates volatility in many of our performance metrics quarter to quarter. James will discuss our mortgage business more in a moment. Earnings benefited from a negative provision for credit losses of 3 million, while it may appear odd to see negative provision while our non-performing loans have increased slightly, total adversely classified loans continue to trend down. Ron will further address credit in a moment. We continue to grow our balance sheet and our revenue while improving our cost structure. Total non-interest expense declined 1.7 million compared to the second quarter of this year and 4.2 million from the third quarter of last year, excluding the 3.1 million BSA charge that impacted the third quarter of last year. The MSR adjustments has a meaningful impact on our efficiency ratio quarter to quarter. Had we not recorded this negative adjustment, our efficiency ratio would have been 69.5% for the quarter. While we’re certainly not pleased with the [half] 60s going forward, we have made tremendous progress from the mid-80s level we were running three years ago. I’m confident that our trajectory on both revenue side and expense side of the equation will allow us to continue to drive that metric down in coming quarters. Finally, we acted on the share repurchase authorization that our Board of Directors put into place last December. During the quarter we repurchased $2.9 million shares at a weighted average price of 23.58. This represents half of the $5.8 million shares authorized to repurchase. We view the pullback in the equity markets as an opportunity to initiate the repurchase. We are committed to continuing to manage our capital levels in a manner that will maximize shareholder value. As a result of this capital action, we are currently working to update the pro-forma financial component of our pending regulatory applications, while we patiently wait for any news from the CFPB. I will now turn to Bill and allow him to discuss our financial results in more detail.
Bill Prater: Thanks Dan. If you’ll turn to Slide 4, you’ll see our summary income statement. Net income was $34.3 million or $0.36 per diluted share for the third quarter, which represents an increase of 20% over the third quarter of last year. The only material non-operating out an impact in the three quarters presented was the 3.1 million onetime expense incurred in the third quarter of last year related to BSA remediation. You’ll also notice on this slide, the trends in our net interest revenue. Net interest revenue was $111.1 million for the third quarter compared to $107.3 for the second quarter of this year and $105.6 million for the third quarter of last year. We continue to grow our net interest income as we grow our balance sheet. Our net interest margins was 3.59% for the third quarter, compared to 3.54% for the second quarter of this year and 3.62% for the third quarter of last year. The quarter-over-quarter increase in the margin was driven primarily by shift in earning asset mix as a result of the net loan growth as well as stable loan yields. The yield on loans was 4.22% for the quarter compared to 4.23% for the second quarter of this year and the cost of deposits was 22 basis points compared to 23 basis points for the second quarter of this year. You’ll also notice earnings for the quarter benefited from a negative provision for credit losses of $3 million compared to a negative provision of $5 million for the second quarter of this year, and no recorded provision in the third quarter of last year. Ron will discuss that in more detail in a moment. The following two slides break our net interest revenue and expense in to further detail. If you’ll turn to Slide 5, you’ll see a detail of our non-interest revenue streams. Total non-interest revenue was $63 million for the quarter compared to $74.3 million for the second quarter of this year and $69.3 million for the third quarter of last year. Mortgage lending revenue was $2.3 million for the quarter, compared to $14.1 million for the second quarter of this year and $6.9 million for the third quarter of last year. The decrease in mortgage lending revenue was largely attributable to the fluctuation in MSR asset valuation. We also saw a decline in our mortgage loan pipeline during the quarter. Insurance commission revenue totaled $28.6 million for the quarter, compared to $29.3 million for the second quarter of this year and $29.2 million for the third quarter of last year. We continue to see softening of premiums in the insurance market. James will give us some more color on both mortgage and insurance businesses and loan. Slide 6 presents a detail of non-interest expense. Total non-interest expense for the quarter was $126.5 million compared to $128.2 million for the second quarter of this year and $133.7 million for the third quarter of last year. The schedule at the bottom of the slide shows the aggregate impact of the non-operating items incurred in each of the quarters presented. As you can see, the only significant non-operating item impact in three quarters shown here is the $3.1 million charge in the third quarter of last year related to BSA/AML. I'd like to make a few comments about certain of the line items included in non-interest expense. Salaries and benefits totaled $81.4 million for the quarter compared to $79.8 million for the second quarter of this year and $77.5 million for the third quarter of last year. The linked quarter increase was driven primarily by annual merit increases which were effective July 1. The increase in salaries and benefits compared to the third quarter of last year includes the impact of the $7 million annual increase to pension expense in 2015, which we’ve discussed in several of our previous quarterly calls. The increase in salaries and benefits has been more than offset by declines in other expense items shown on the slide. You know this gradual declines in virtually every other line items shown here. These declines along with revenue growth had driven the improvement and efficiency that Dan mentioned earlier. That concludes the review of the financials. I will turn it over to Chris for his comments on front line banking efforts.
Chris Bagley: Thank you, Bill. Slide 7 reflects our deposit mix at September 30th, compared to both the second quarter of this year and the third quarter of 2014. Our total deposits are essentially flat compared to second quarter. They are up $440 million or 4.1% compared to third quarter of last year. We did see growth at just over $50 million in our customer repo accounts during the quarter. While we are experiencing deposit growth, the growth continues to lag the growth, we are experiencing on the asset side of our balance sheet, as a result we continue to emphasize the importance of deposit growth to our team makes and to review our product offerings to ensure that all people are equipped to compete for that growth that we need. We’re continue to see the same trends in our deposit mix, we’ve discussed for several quarters now. Time deposits continue to trend down, while lower cost demand and saving deposits have grown. We expect customers to continue to favor these products, until rates start to rise. Moving to Slide 8, you'll see our loan portfolio as of September 30th, compared to both the second quarter of this year and third quarter of last year. We are pleased to report that net loan growth for the quarter of $212 million or 8.4% annualized. Net loans and leases are now at $507 million year-to-date or 7% on an annualized basis. We provide ourselves and being a community bank, the advantage of our diverse footprint respective market results in loan growth coming from different products and geographies, four of our five geographic regions produce net loan growth for the quarter. Of note, our more recently formed Central Texas region which includes our LPOs and Houston, Dallas and Austin grew loans $76 million for the quarter and total loans for this region stand at over $200 million today. This represents a very successful start for us in the new markets of Houston, Austin and Dallas. Our Southeast region produced net loan growth over $100 million for the quarter as well. Within our respective regions we had six divisional lending teams produce annualized loan growth of over 10% for the quarter. These teams included the Northeast Arkansas division, the Gulf Coast division, the mid-Mississippi division, the North Central Alabama division and Northwest Louisiana division and the South Louisiana division. We are extremely pleased with the efforts of our team and optimistic about the opportunities our current loan pipeline will provide going forward. I will now turn it over to James to discuss our business development results in mortgage and insurance.
James Threadgill: Thanks, Chris. The tables on Slide 9 provide a five-quarter look at both mortgage and insurance. Our mortgage lending operation produced origination volume for the quarter totaling $402 million, of that $308 million or 76% represented home purchase money, which is a 26% increase in purchase money volume over the third quarter of 2014. We believe comparable quarter comparisons are more relevant given the seasonality in the business. Increase in volume have been partially attribute to the increases in our production team, as originators increased from 113 at September 30, 2014, to 129 at September 30, 2015. As we expand our team, we are adding seasoned originators who know how to be successful in a purchased market environment. Deliveries in the quarter were $397 million compared to $366 million in the second quarter and $225 million in the third quarter of ‘14. Mortgage lending revenue totaled $2.3 million for the quarter, which included a negative MSR valuation adjustment of $5.3 million. This compares to revenue of $14.1 million during the second quarter of ‘15, which included a positive MSR valuation adjustment of $4.3 million. Margin was 1.3% for the quarter, a decline from the 2.02% in the second quarter of this year. We said last quarter, the mortgage margin would be negatively impacted when the pipeline started to decline, we saw that this quarter as the pipeline declined from 330 million at June 30th to 269 million on September 30th as we moved into our slower selling season. Without this $62 million decline in our pipeline our mortgage would have been in the 1.6% to 1.7% range, which is in line with our mortgages expectations. Moving on to insurance, total commission revenue for the quarter was $28.6 million compared to $29.3 million for the second quarter of ‘15 and $29.2 million for the third quarter of ‘14. All five quarters represented here fully reflect our most recent agency acquisitions. The property and casualty insurance market remain soft with most renewal premiums either flat or declining. As we look to the remainder of the year, let me remind you that fourth quarter is seasonally our lightest quarter of the year on insurance revenue, due to the renewal cycle of our book of business. Now, I will turn it over to Ron for his comments on credit quality.
Ron Hodges: Thank you, James. Slide 10 presents some highlights of credit quality for the third quarter. As Dan mentioned, we had a negative provision for our credit losses of $3.0 million for the third quarter compared with a negative provision of $5 million for the second quarter of this year and no provision for the third quarter last year. Net charge-offs remains low at 2.3 million for the quarter compared with net recoveries of 6.7 million for the second quarter of this year and net charge-offs of 3.2 million for the third quarter of last year. The negative provision is partially result of continued decline in the level of adversely classified loans in the portfolio, we continue to see improvement in the metrics of our models, the [ALLL] was 1.30% of net loans and leases as of September 30, 2015. Non-performing loans increased $10.8 million quarter-over-quarter while total non-performing assets increased $10.2 million. This increase was a result of one $9 million commercial real estate project that was restructured during the quarter as a result of the loss of a major tenant, this particular credit is still accruing. The final two bullets on this slide relate to near-term delinquencies and other real estate owned. Near-term delinquencies continue to remain at low levels, representing only 0.25% of net loans and leases at September 30, 2015. ORE balances continue to trend down as ORE totaled only $23.7 million at the end of the quarter. Slide 11 provides a visual of the trends in NPLs, ORE, and total NPAs of the past several quarters, the clearest thing where this levels have stabilized over the past few quarters. I would again reiterate that we reached levels with quarter to quarter fluctuation in either direction [we describe] as going forward. With that I will now turn back to Dan for his concluding remarks.
Dan Rollins: Thank you, Ron. We're very pleased with the financial results for the third quarter. I feel like I'm repeating the same story quarter after quarter, but it's a story of success. Our teammates have embraced and bought into the simple message of growing our company, growing revenues and challenging expenses. I'm confident this simple approach will continue to drive better operating results in the quarters and years to come. I'm also pleased we were able to tap into the share repurchase program this quarter and return some capital to our shareholders. We are committed to continuing to improve shareholder value through the day to day management of our company as well as through our capital management and deployment. With that I will conclude the prepared remarks and operator we'll now be happy to answer any questions.
Operator: Thank you we will now begin the question-and-answer session. [Operator Instructions] and our first question comes from Catherine Mealor of KBW, please go ahead.
Catherine Mealor: Thanks, good morning everyone. So Dan you mentioned in your comments earlier that you're updating your performing capital plan, and your merger actually includes a buyback. So would it be safe to assume that outside of another significant decline in your stock you'll probably put the rest of the buyback on hold until the mergers are approved because they don't have to keep updating its quarter after quarter?
Dan Rollins: Yes, I think that is really dependent upon what happens to the equity markets that are out there, I mean I think what we were looking for was an opportunity to buy the market took a pretty substantial dip in the quarter and we took advantage of that. I don't know that we could say that we would not take advantage of another opportunity if it were to present itself here in the next two quarters, or three quarters.
Catherine Mealor: Okay, and then any update on the mergers and your conversations with the CFPB?
Dan Rollins: We haven't had any conversation so we're just patiently waiting.
Operator: And our next question comes from Steven Alexopoulos of JPMorgan, please go ahead.
Steven Alexopoulos: Hey, good morning everyone. I wanted to ask, you guys have had very nice expense control year-to-date and as we look to 2016 is there room to further reduce total operating expense levels ex the deals assuming that the, they close by then.
Dan Rollins: Yes, we're working on our budgeting process right now and we're challenging folks to look to see where we're spending money and where we can control the expenses that we have, I don't know that we're prepared to say that we can reduce the overall level of where we are today, but that's clearly the goal we put in place for some time is to be able to continue to grow our company while we’re holding expenses flat or down.
Steven Alexopoulos: Okay, that's helpful, I am curious there's a delay in being able to close the two pending deals, change your appetite in terms of pursuing additional M&A going forward.
Dan Rollins: That's a good question, I don't know -- you know that we've got to kind of slice that apart Steven, so you know we've been just patiently waiting now coming up on two years and we're assuming that if we can get some conversation going and resolve whatever the questions may be that have got us in and time out, we should be ready to move forward and if the resolution of those issues presents itself in a way that allows us to continue to look for other transactions then that would open the door for us to continue to do that. If on the other hand the resolution creates some hurdles for us that we need to jump before we can look to other transactions then we'd have to take care of that also. The issue is we just don't know.
Operator: And our next question comes from Kevin Fitzsimmons of the Hovde Group, please go ahead.
Kevin Fitzsimmons: Hey Dan just to clarify, so you're patiently waiting to hear back from these folks but say we continue to work going through the fourth quarter and you don't hear the way it stands right now is the merger agreements been extended to year-end, correct? So you would I guess seemingly have to have some point in the sand in the fourth quarter were you either work to amend that agreement further or I guess what you could also do is do nothing and then it just doesn't make it go away but it just loses the exclusivity is that the right way to look at it?
Dan Rollins: I think that would be exactly correct, somebody has to, somebody being one of the three parties has to take action to terminate after December 31st. Any of us can take action to terminate but none of us have to take action. So I think the way you' described it would be accurate you know, nobody has to do anything we could just continue to sit and wait or we can certainly start talking and see if everybody wants to continue to play the game. You know the hard part Kevin is there's just no knowledge, no news at all, that's the frustrating part, there's absolutely zero communication, there's no open channel, there is no information flow and so with no information as to whether we're coming up close to having something done so we can talk about it or whether it’s still two years away, it's very frustrating.
Unidentified Analyst: No, I can imagine and I assume by no open communication that includes that your primary regulators who have their own opinion on the deals I would assume have not heard either or can't on your behalf go to try and get some [indiscernible] from CFPD.
Dan Rollins: Yes, I can’t speak for our primary regulators but I think all three, the Federal Reserve, the FDIC and the state banking department, I think they would like to have some clarity in this picture just like we would. I don't know whether they're having any direct conversations or not, they're certainly not sharing with us if they are.
Operator: And our next question comes from Jon Arfstrom of RBC Capital Markets. Please go ahead.
Jon Arfstrom: Thanks, good morning. Little bit on the provision and credit. Obviously, you guys have had some nice tailwinds from that the last few quarters in terms of the reserve releases and I guess, I appreciate the [E&P] increase is just one credit [and it seems explain a little bit] how long can this last, how low can reserves go, just give us your thoughts on that.
Dan Rollins: Everybody has the methodology now they're using that has the probability default loss given default, lots of statistical information that's in there, Bill and Ron can certainly talked about a lot better than I can. We're watching what's happening from a credit perspective, daily, weekly, monthly, and our team is actively involved in looking at what's going on out there. I don't think we get too excited about one -- day credit that loses -- as Ron said, the credit is continuing to accrue but when it moves into that trouble that restructure bucket, we list that in our nonperforming assets. Ron, you may want to jump in part of this question was how low can it go and I guess that's all a function of the methodology.
Ron Hodges: Yes, I would agree. I mean, as I said indicated in the remarks, we've got our [ALLL] model that there is a loss given, a probability of default we're benefiting from some continued low charge offs and also some continued half recoveries that we've had from loans that we've been working over the last two or three years. It’s anybody's guess as to how much longer those can continue, I think the low charge off will continue. As Dan indicated, it's just output of the model where have those recalibrated every year and the probability of default and especially our loss given to fall, given our recoveries has continued and improving give us the ability to reduce our loan loss reserve.
Dan Rollins: Jon just one quick reminder and I'll let Bill here something here also. On a year to date basis net recoveries, we're in the net recovery position of 3.5 plus million on a year to date basis. So, while we've taken 13 million out, I think that's a clear function of what we're saying in the total portfolio. Bill, you want to jump on that?
Bill Prater: Yes, when we -- to evaluate those recoveries, we just went throughout another recalibration and you factor in in the regression analysis the impact of these recoveries to get back to that net loss number, that's a big part to what's driving the lower indicated provisions but I feel pretty good about where we are, I think we've [dissected] from all angles those both quantitatively and qualitatively and I don't know that there's a percentage you can look at, that you say that we can let our allowance go through whatever point, I mean, we'll pay attention to current events and the model picks up on current trends and I can't tell you what it will be one quarter to the next, but we've enjoyed some rather nice recoveries.
Jon Arfstrom: Okay. Good. And then just maybe one for James, I think you touched a bit in your comments but you help us to understand property and casualty commissions year-over-year being down a bit with that all pricing and then what's going on in license, how also looks like that is up, so just help us to understand what's going on those two categories?
James Treadgill: We’re definitely seeing declining rates in the property and casualty area, we face competition like everybody else. So, we had ebb and flow of accounts that come and go. So, we got a great team, we feel very confident in their ability to pick it backup, this is a typically a little bit slower time of the year for them, the fourth quarter but I'm very confident about the outlook going forward.
Dan Rollins: On the health side, is there a reason why health is up?
James Treadgill: Health side, I think you've seen a lot of people that are looking for advisers under the Obama health Care Act. We're seeing a lot more opportunity to advise clients on the collect fees in that area.
Dan Rollins: And some of our folks are now certified in that area, so that helps us
James Treadgill: Absolutely, yes. We had several of our producers and become certified in that area to -- and it attracts clients.
Operator: And our next question comes from Emlen Harmon of Jefferies. Please go ahead.
Emlen Harmon: Bill, just looking at the loan yield, those have held them pretty well this quarter. Could you just walk us through the mechanics there, just kind of where new originations are pressing on average, just are there any mix effects or any other unique items loan fees or non-accrual recapture that’s helping you out there?
Bill Prater: No, not real impact -- no meaningful impact from any non-accrual recapture. When you look quarter-to-quarter, end of second quarter typically, we don’t do a lot of ag lending, but we do some in second quarters when you see a lot of those production lines draw, those are typically being short term facilities, they are typically variable right loans and cross out a little bit lower than the fix rate we could pretty evenly balance on what we're doing from a fixed and variable rate or interest rate risk positions in pretty good shape. But the impact if you look second quarter to third quarter, we were down about $140 million and [indiscernible] funds but we have that build up in early part of the year that comes out over the first half of the year and those are about 20 basis points on average. But investment portfolio was pretty flat and you are really looking at rotating that $140 million out of the overnight funds until the loans and the average yield that when it was 4.22 this quarter of the average yield of whole portfolio. So, you are balancing out a relatively low earning asset with a higher earning asset. On the funding side, we were down at one basis point on the funding cost, but that’s pretty much mix related. We continue to see time deposits which are higher price go down and we see the non-interest bearing and the other cheaper sources of our cost of funds go up to offset it. So, all in all that kind of balance out the basis point pick up on the liability side a 4 basis point pick up on the asset side.
Dan Rollins: Ron one of the parts was that was on where we’re putting the loans on today, are you seeing any material move and what we are doing today versus what we were doing last quarter?
Ron Hodges: We’re really hovering around the same metrics that we were last month and the last quarter excuse me and everybody’s -- the competition is strong for any good loans.
Dan Rollins: And does that help you?
Unidentified Analyst: That does help me, thank you. And then just on the -- Bill I mean directionally on the NIM, how should we be thinking about that if you can hang in here, is there going to be just some pressure from the environment?
Bill Prater: Well we don’t have the overnight funds to kind of balance out at this point, we’re down to a pretty relatively low level almost to required levels and we -- our funds borrowed position [indiscernible]. So I don’t see any pickup from that. Loan yields are kind of important too, we don’t have any real need to be growing the Securities portfolio right now. I think unless we do see some change in the cost of funds which I don’t really expect right now from an interest rate risk position, we’ve got some room to run if we need to with an overnight borrowing position without creating any interest rate risk we can’t manage. So I think we can held it in here at a relatively stable level but you could see just like this quarter, up or down a basis point or two kind of quarter-to-quarter going forward.
Operator: And our next question comes from Jennifer Demba of SunTrust. Please go ahead.
Michael Young: Hello this is Michael Young on for Jennifer. I just wanted to get your take on the mortgage business, may be an update on -- will we return to sort of normal seasonality going into the fourth and first quarter or do you think that production volumes will remain elevated given the low rates?
Dan Rollins: Okay, I want to make sure we’re getting the question right. You are just asking if in a normal mortgage environment, where our 4Q is lower than other quarters?
Michael Young: Yes, just wanted to get you general thoughts on will we sort of return to normal seasonality, whatever that is, I guess we haven’t seen that in a while or would we remain more elevated on the refi side et cetera?
Dan Rollins: Yes, we are not elevated on refi side as all today. So I think what’s you’re saying on us would be a 100% whatever is happening within the mortgage market. If sales were happening, we’d want to capture our portion of those percentage of refis as low as it’s been in James, I don't know quarters or years.
James Threadgill: Yes, the fourth quarter typically is a little bit slower quarter, there are fewer homes are being sold, but we are continuing to expand our mortgage operation and our originators. And if we increase to I think 129 originators this quarter, I would say that we’re going to continue to grow that team and continue to add seasoned production staff that work well in our purchase environment. So, we’re going to continue to expand and grow our production team and hopefully, the first quarter will -- its typically one of the stronger quarters as sales start picking up in the spring.
Dan Rollins: But I would expect that we’re going to be in the seasonality just like any other mortgage [indiscernible].
James Threadgill: Absolutely.
Dan Rollins: What we see, we track our numbers against the mortgage bankers -- the industry numbers and we typically see that we’re, if the market’s expanding, we’ve been expanding, if the market’s contracting we are contracting. We typically see that we’re contracting less than the market or expanding more than the market, we've been able to outperform the market. But we are on the same schedule on a seasonality as the market as a whole.
Unidentified Analyst: Okay. Thanks for that and then on the energy loan side, I know you all have very small amounts of outstandings there less than 1%, but Dan just given your background there and not having a lot of exposure, could you maybe just talk about what you expected, maybe in your own portfolio, and then what you’re seeing more broadly?
Dan Rollins: We’re clearly focused and watching and asking lots of questions around anything that we’ve got that is touching exposed to or part of either the oil industry or within an oil industry market, I think everybody is just like you waiting to see kind of what the news is, and whether we can see any recovery in price, Chris you’ve got a lot of experience on that side too, you want to address energy lending?
Chris Bagley: Well I’ll just echo what Dan says in the sense that from energy lending perspective, we think about it in a couple of different ways, one, we mine track and know who is directly tied to the energy business in terms of service or production, we don't have a lot of that, but our experience tells us that geographically many things can be impacted by change in oil prices in a long period of time, with them being low specifically real estate in certain different markets. So we’re looking at that too. So I guess the answer to your question is we’re very sensitive to it, because we have Taxes scars on our back from the 80s we understand it, but someone watching that really closely, how you can really do is going there and really mine that information and monitor those credits and that's what we are doing.
Operator: [Operator Instructions]. Our next question comes from Matt Olney of Stephens. Please go ahead.
Matt Olney: Hey thanks most of my questions have been addressed. With the exception of the loan pipeline any comments on the pipeline going in the fourth quarter?
Dan Rollins: Matt, how are you? I think what we are pleased with the production team, Ron you may want to jump in here again, but I think what we are seeing today is that we’ve got folks across our footprint that are actively engaged and calling on customers, I don't know that we see any big movement in our pipeline up or down, the team is doing well. Ron?
Ron Hodges: I agree, I don't think there is going to be extraordinary change. I mean we are seeing the trends over the last five or six quarters, as steady growth in our loan portfolio as we get after and make calls on the perspective clients in these markets that we are up are again and I would expect that to continue for the next few quarters.
Chris Bagley: I’ll jump in, this is Chris to say, one of the things I see or appreciate is the diversification of our geographies in our footprint. So our pipeline can come from different areas, it can be community bank, it can be larger bank, our corporate side, our new markets, so we get some nice, I think some nice opportunities just because of our diversity in the number of folks we have on the ground trying to make it happen.
Operator: Showing no further questions. I’d like to turn the conference back over to Dan Rollins for any closing remarks.
Dan Rollins: Thank you for joining us today. If you need additional information or have further questions, please don't hesitate to call us otherwise, we’ll look forward to speaking to you all again soon. Thank you very much.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.